Operator: Thank you for standing by, and welcome to the IGO Limited December Quarter Results Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Ivan Vella, Managing Director and CEO. Please go ahead.
Ivan Vella: Thank you, and good morning, good afternoon, everyone. Thanks for joining us again to run through our December quarterly results we've just released. Kath Bozanic, our CFO is with me again, as per usual. I'd love to wish you a Happy New Year and definitely a Happy Chinese New Year as well, the year of the Wood Snake. We recognize the start of that yesterday. Let me start with safety. And look, our persistence is starting to pay off the focus there. While the headline lagging numbers are flat line that are changing under the covers, the team is doing some fantastic work to improve our safety maturity. And steadily, step by step, those leading indicators are starting to turn. So it's an area of focus and something that I'm confident, through this calendar year, we'll be able to show some steady improvement. I guess I'll start with the lithium business and looking to Greenbushes. It was good to see another strong quarter of production. The teams finished the calendar year well, beat their own plans, and after a very slow start in the calendar year, I think, shows the capability of that operation. It's been really good to see Rob Telford settling in as the new CEO there. He's been getting a lot of time in the field with his team, deeply understanding the business, connecting with the team, and I think setting a really good foundation and set of priorities for him to focus on through this calendar year as he starts to make his influence felt. I'll come back to more details on Greenbushes' performance in a minute. But look, overall, their progress is fantastic. And that includes CGP3. That's tracking well now to the revised date that we said late last year, and there is a variety of other optimization improvement work underway there. Kwinana, we've obviously made several announcements in the last month. And most importantly, the announcement around Train 2, which I think everyone is absorbed and understood. I'll come back to that in a little while. It was for us a fairly important decision to clarify. We know that we were getting a lot of questions around it and to be able to provide that guidance after extensive conversations with our joint venture partner, some deep reflection and a really clear decision, I think that's been helpful. The production out of Kwinana has improved, and that was signed posted following the shutdown in October, November, that the results of that fully realized yet. I'll come back and talk more about that as we go. But I think the important, I guess, residual work that we've signed posted is the impairment testing that's ongoing. We recognize, obviously, Train 2 is part of that, but there is an assessment on Train 1 as well, which is ongoing. And we'll share more on that in the half results coming up in a few weeks' time. Nova, look, it was a tough quarter, a number of factors driving that, largely mine grade related and our understanding of the ore body at its extremities, that's impacted recoveries. We did have some plant availability issues through part of the quarter as well. Ultimately, that led to a lower nickel output. And obviously, a flow through to our cost or unit costs. And at the time when the nickel price was also subdued, it certainly impacted our financials. But I guess, the quick headlines, let me spend a bit more time on Greenbushes and stick into that. As I said, look, production was pretty consistent. And yes, I'm sure I'll get questions again around guidance. At this stage, look, remember Greenbushes' plans on the calendar year, we provide guidance across the financial year. And so I wasn't in a position to update that. We are working through the budget and plan, finalizing that with joint venture participants. And with that, we'll be able to provide some update. But there's really nothing more to see other than an operation that is running well. It's continuing to improve. Recoveries continue to be sustained at good levels. The team's driving and focusing on productivities and obviously with two strong quarters under the belt in this financial year, it bodes well for the next half. Sales were down. That's really just shipment timing and nothing too much to see there. That will wash out through this quarter. Again, it's not a signal of anything more than just the timing and the management of the business. And cash costs were a difference to Q1, and we've explained in our notes that was really about, I guess, a one-off differential against the prior quarter given some deferred stripping adjustments that we've noted in the prior quarter and some higher maintenance costs, but that should level out to our guidance as well. So look, overall, a good quarter from Greenbushes. I'm still focused very heavily on that forward runway for improvement. There's still a lot of productivity opportunity in front of the team. There is also work going on as we understand that ore body better and better and how we think about the growth, particularly as we bring CGP3 online and make sure we get the very best out of that ramp-up later this year. So lots of positive work going on. Still generating extremely good margins at this sort of low point in the cycle. And with a lot of upside, we are very encouraged by the performance there. And all credit to Rob and the team for their continued diligent performance. Kwinana, look, to dig in a little more depth there, the uplift in production performance was good to see. And was obviously a flow-on from that shutdown that we had. We still haven't hit the expectations or the targets that the team had set for themselves based on those projects and improvements they made in the plant that we expect to flow through in the next couple of months. And there is obviously an ongoing focus on the performance and the ramp-up. We are in that same budget cycle at the moment for Kwinana and looking at what the plan ahead looks like, what changes still need to be made to that plant to bring it up to operational nameplate capacity, what the kind of costs are and so on. There is a lot of work going on. The Train 2 decision, I guess, to spend a few more minutes on that. We have looked at, obviously, Train 1 ramp up. We've looked at the broader market. We've looked at the CapEx and OpEx and that sort of investment decision, what that would take, and it just didn't make sense. And so Tianqi and IGO were very aligned on that decision to cease all of the activities around Train 2. And I guess, we've announced that last week. The impairment will include that, of course, but also test for the forward performance on Train 1 as well. The other, I guess, key takeaway from Kwinana is the flow through to our financials. EBITDA loss there resulting from NRV adjustments on our spodumene and lithium hydroxide inventories. As we've noticed, inventories have built, sales have been slower than expectation due to weaker market conditions and a number of other factors. Ultimately, that's leaving us in a difficult position in terms of that flow through to our financials. On to Nova, the production performance there was certainly lower than our expectation. As I said, as we mine and get further into the extremities of the ore body, we are certainly finding that more challenging. I think we've signed post that in the last couple of quarters, and we are really feeling that. Equally, if I talk to just the last couple of weeks, for example, in January, we are seeing some layering in parts of the ore body here that then has resulted in a real uptick in grade as well. And so the team is doing quite a lot of work to try and get a better understanding of the ore body in these areas. More drilling, looking at our mining technique, managing for over break, under break, and ultimately trying to deliver a much more reliable or predictable production performance that we can depend on. Again, as I've signed post in a couple of quarterlies now, as we work through this, we wanted to get to a place we have a confident view to the end-of-mine life that we can provide that production guidance all the way through. So for the rest of this financial year and all of next financial year, we'll be able to give you that view. I don't think that's too far off now. And that for me is important to just give a market clarity on what to expect from Nova as it moves towards end of life. I think the rest of the focus at Nova is just continue to deliver safe and stable production. So we'll leave it there. On the financials, look, results don't obviously tell a wonderful story. And as you can imagine with the impairment signpost did for the half, that's going to have a heavy impact as well as flow through. The factors driving the majority of this is, of course, are coming out of TLEA and the impact from the NRV adjustments, also some FX losses on U.S. denominated debt at Greenbushes are all factors flowing into that. That's not necessarily a cash impact, but does flow into our accounts and is reflected in the EBITDA that you see there. The performance in Nova, of course, is lower than expected, and that's also had an impact. I think the other key takeaway in our financials is that we've also indicated we don't expect to be paid any dividend from TLEA in the second half of this financial year. And so in terms of our cash position, that's also going to be taken into account. We finished the quarter with $247 million cash, broadly in line. We are managing our corporate costs closely. Exploration is trending down as we indicated. And all of those factors are being managed proactively through this period. Just to wrap up then, in summary, Greenbushes, I think some real highlights there, steady improvement, two strong quarters and good control of the costs, continuing to deliver fantastic margins and lots of optimization work going on, productivity and I guess, getting a deeper understanding of how we can really bring the best out of that mine. CGP3 is progressing well, and we expect that on later this year. Kwinana, spend a bit of timeline. I'm sure there will be lots of questions. And there is a lot of work ongoing there. And then back to our core of our nickel business Nova, the team are working hard to get the best out of the residual ore body there. I didn't talk about Cosmos and Forrestania in depth. I think it's important to note that Forrestania is, obviously, finished mining and is closing out sales of their product and just wrapped up in the last quarter. They are well and truly into care and maintenance now, and we are working through what the next steps are for that site. Our exploration team has still been active there and pursuing a number of targets in that area, as they are at Cosmos as well. We've also been working through our drilling and then testing around the Cosmos project so that we can make some final decisions there. I won't go into too much depth there. It's still too early to say. But I guess, the piece I can share at this point is we are not at a point of flooding that mine or moving on from it. So we've still got some question marks there that we need to work through, and we will provide an update on that I'd expect in the next quarter. So that's, I guess, covered the headlines, key messages and leaves us with some good time for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Hugo Nicolaci with Goldman Sachs. Please go ahead.
Hugo Nicolaci: Good morning. Hi, Ivan and Kath. Thanks for the update. Obviously, a lot to discuss. So just keeping it to that two questions. Firstly, you've called out the Windfield debt revaluation on FX, and inventories at Kwinana is driving those EBITDA losses out of the JV. Can you maybe just quantify the magnitude of those impacts for us and maybe also just confirm the level of spodumene and hydroxide? Do you have an inventory in Kwinana now?
Kathleen Bozanic: Hi, Hugo. We actually don't provide that level of detail in our quarterly. So you'll get a little bit more detail in our financial statements and when the entities and TLEA release their financial statements later in this quarter, possibly early April. What I can say is the ForEx was substantial. And if you actually remove the ForEx and the NRV, the numbers would be substantially better and back in the positive [indiscernible] as an order of magnitude.
Hugo Nicolaci: Got it. Okay. And then just on the Kwinana impairment pace, obviously working through with orders in terms of magnitude there. But I guess, strategically, what is the Kwinana impairment and the stopping of Train 2 mean for spodumene sales going forward? If I look at the mass balance for Tianqi, it looks like the ramp-up of their own conversion facilities will continue to reduce their net long spodumene position over the next few years. But is there any scope now for IGO to maybe get marketing rights over your proportional share of the volume? Or is there maybe a greater willingness to sell extra volume into the spot market longer term there?
Ivan Vella: Hugo, look, good question. Obviously, Train 2 was still a way off, even if it had gotten financial support to progress. The current volumes that Train 1 are consuming are also not that material. So I mean, I think Tianqi has been consuming most of the production share from Greenbushes and plans to continue to do that. We don't see any indication that, that's an issue or a challenge. In terms of wanting to market it more broadly, I think that would be something that we'd have to discuss through the JV and determine if that made sense and added value. But at this stage, there's no concerns with the offtake and demand there. That's still very strong from the JV partners.
Hugo Nicolaci: Excellent. Thanks for that color. I'll pass it on.
Ivan Vella: Thanks, Hugo.
Operator: Your next question comes from Kate McCutcheon with Citi. Please go ahead.
Kate McCutcheon: Hi. Good morning, Ivan and Kath. Thank you for reinstating some disclosures and the cash waterfall. Just Kwinana Train 1 has been challenging. When do you think you'll be in a position to update the market on some of those metrics like costs? How much longer do you give Train 1 to get somewhere where it resembles something that's closer to nameplate? Is there a scenario where it doesn't make sense to continue that? And I guess, how long until we have some clarity there? Is it a couple of quarters? Is it a year? Is it too soon to know?
Ivan Vella: Kate, look, first of all, thanks for the feedback on our quarterly, and we're happy that we could make that easier for you. We certainly weren't looking to make it hard. We're just trying to get more in line with the market, but that's great. And any other feedback out there, let us know, and we'll adjust as appropriate. I mean, Kwinana, as you called out, it's obviously very material for our business and the cash that that's demanding to sustain and develop that asset. We are obviously working through that very proactively, not just because of the impairment, it's budget time, and it's also something that's been a strong focus through 2024. And we really need to be clear about what the plan and the future for it is. It's something that we need to get to a place where we've got alignment with TLC. They bring obviously huge expertise in the lithium refining market in those operations across China and beyond. And so we rely on that, and I think, draw on their expertise, but equally want to have our own view on the economics and the plans, and make sure that, that's been considered as part of the planning and the thinking there. To get to your specific question on timing, I can't give you a date yet. But look, it's hot discussion at the moment. It's got a lot of focus, as I said, not just because of the impairment. So at the very least, I do expect, and I know how material it is for our business to be providing guidance on Kwinana going forward. So it's something I didn't do in the last calendar year because it was too uncertain for me, it was too new for us to be able to do that consistently or with the confidence. I know that we sort of put some numbers out in 2023 and just missed them and it didn't really help with anyone's understanding or confidence around the asset. So we will put some more numbers out. We'll work through that for the next quarterly and ongoing and taking the – as I said, calendar year 2025 budget into account, give you that extra set of clarity to work with.
Kate McCutcheon: Okay. That would be helpful. And then CapEx at Greenbushes looks to be running below guidance, unless there's an accrual versus cash nuance there. Is that CapEx spend through hedge weighted? Or is it fair to assume that comes in below for the year?
Ivan Vella: Look, I wouldn't read too much in – we've got, obviously, a huge focus on CGP3, which is in the pipe and set and obviously are largely constructed. It's certainly very well progressed. They're into the hard parts of cabling and piping and so on. We naturally at a point low in the cycle, will be frugal with our capital. And I think Rob is thoroughly testing that. We're into the new budget cycle or the new budget period as well, and that's just gone through the JV partners as well. It's an asset or a business where we want to continue to invest and grow and develop and make sure that we're getting the very best from it, but do that in a frugal manner. I wouldn't suggest you should take any signals from a quarter as to how that's going. We're still tracking to our guidance and to our plans.
Kate McCutcheon: Okay. Thank you, Ivan.
Ivan Vella: Thanks, Kate.
Operator: Your next question comes from Rahul Anand with Morgan Stanley. Please go ahead.
Rahul Anand: Hi, team. Good morning. Thanks for the call. Look, two for me, largely focused on Greenbushes, I guess. First one, in terms of your sales, you flagged that there were other factors beyond the market that impacted the sales. Are you able to highlight that perhaps a little bit more mainly because I've seen some of your peers report past couple of days that have had strong sales performances recently. And I just wanted to understand whether it's related to your offtake party or your partners that market the product basically in the process of adding conversion capacity and basically wanting to supply that product to themselves? And then secondly, just on Greenbushes, given that's the most profitable asset in the group. And as you mentioned, has good margins. How are you thinking about expansions beyond the current CGP into CGP4? Are you starting to have those conversations and thinking about any early work there? Or if there's an update there, that would be much appreciated. Thanks very much.
Ivan Vella: Okay. Thanks, Rahul. Look, in terms of sales, strong demand from the two JV partners that are also customers, the timing of sales is purely logistics and shipping and both availability and very practical things, it isn't anything more than that. And they actually will have some faster periods and slower periods, and it's really is just a wash of all of those factors. It wasn't or isn't anything more than that. So I don't – yes, I don't expect you to sort of trying read through into any other broader market issues there. I guess second question around growth and capital for CGP4 and beyond. The work around full optimism and that life of mine view for Greenbushes is underway. Rob's obviously just in the seat and getting his arms around the business. I think once he's done that work, he will be in a position to lay out what that growth plan looks like. I mean, obviously, CGP4 is something that has been considered for some time and it's been sort of penciled in, in the outer years of this decade by some people. For me, it's just too early to tell. I think what we need to do is finish that work, understand the ore body, understand what might be appropriate for underground, when Kapanga comes online, how that whole mine develops. It's a much larger scale now than it's ever been. And equally as the productivities lift and we start to get more out of the existing plants, it's something I think I talked about in the last quarterly CGP1, 2 and then 3 when it's online, the tailings retreatment plant, all of these assets can offer up more capacity, more creep and more potential. So that needs to be taken into account before you then prioritize other new growth capital. And that's the work that Rob is stepping through at the moment. And I think until he's had time to think that through, it's been through the JV, we're just not in a position to provide a lot more clarity, unfortunately.
Rahul Anand: Got it. Okay. Thanks for that Ivan. Just one quick follow-up on that sales performance, if I'm able to sneak one in. Just wanted to understand, just following up on the initial question around your marketing contract with the JV partner. Is there any color you can provide if you had to take that over yourself? What is the process? Is there a first right of refusal? Is there a payment required? Like what can get you back in control of your product, if at all, that's a possibility?
Ivan Vella: Yes. I mean, I'm not sure what you're referring to in maybe a prior price information or comment, but the way that Greenbushes is structured is it's got two customers, Albemarle, Tianqi and that's been the case for a long time by design. Obviously, Kwinana is an exception in that TLEA will prioritize spodumene requirement for Kwinana first before then selling anything on to TLC. But that model is defined, and we're pretty comfortable with it. That works well. And obviously, we're serving both customers and effectively shareholders of the asset that have got a joint interest in making sure it's very successful and the costs are low and it's performing well. The marketing around TLEA was for the hydroxide that's produced. And TLEA provides that service as well. Both TLC and IGO provide input and direction on that. We haven't contemplated any change to that either. So hopefully that's helpful.
Rahul Anand: Got it. Okay. Yes, I was focusing a bit more towards this spodumene side, but I think you've answered that. So thanks for that.
Ivan Vella: Okay.
Operator: Your next question comes from Levi Spry with UBS. Please go ahead.
Levi Spry: Yes. Good day, Ivan and team. Thanks for the call and Happy New Year. Can I just sort of quarterize that question on the inventory buildup though? So how big – or what are the stocks on site? How big was the ship that was missed? And do you expect all inventory to be cleared by the end of the FY or end of the Tianqi's FY calendar year?
Ivan Vella: I don't have the shipping schedule, but I think, Levi, in terms of getting the tons out, that's a priority around the team, they know that, and they actually caught up through the quarter but didn't kind of clear at all. And I can't give you an exact schedule and say what the inventory would be by the end of this coming quarter or Tianqi's year-end effectively. But all I can say is that Rob and the team will be working hard to move the tonnes as quickly as they're producing them. There's no intent for any inventory buildup or holding there or buffering around that.
Levi Spry: Yes. But you got the angle of the questioning, I guess, they've got form in not taking it. So that's, I guess, the risk that we're trying to understand.
Ivan Vella: Sorry, Levi, you just – you weren't super clear there in the line. Just repeat that. What was your concern?
Levi Spry: The Tianqi's had formed not taking the concentrate.
Ivan Vella: Sure. Look, there was one quarter this time last year, and that was on a fairly unique set of circumstances coming out of a period of very high prices without falling. They had high inventories, and their plants were still ramped up. But let me give you some confidence. There is no pushback on tonnes and nominations from either customer. They're both pulling the production through as quickly as it's made.
Levi Spry: Yes. Good. Thank you. Thanks for that answer. And I guess we're kind of keen to understand the Nova, great things, but I'll keep it to one more question. So Kwinana, obviously, there were some assumptions that went into the decision-making around T2, so you mentioned OpEx and things like that. What are the targets and assumptions and decision points for T1?
Ivan Vella: Yes. Look, Levi, as I said, Kate sort of covered this as well. We're working through those details at the moment. And that's part of the impairment testing, but more broadly budget and just plans and decision-making on what's the best for that asset, how we see it growing and developing and what happens with Train 1 given the Train 2 decision because obviously that affects its fixed cost amortization and sort of broader production capacity. I can't give you the detailed numbers at this point. We are going to look to include more guidance going forward, given how material this is in our business, and we'll provide an update, I think, through the impairment. You'll also get a sense of our analysis on that. So I'm sorry, I can't give you a whole lot of comprehensive details there. But certainly, you can take that the thinking that's gone into Train 2 is also relevant for Train 1, albeit they're different One's an operating asset, one's producing and the other was obviously albeit partly constructed, but very much a project still.
Levi Spry: Okay. Yes. Thank you. Thanks.
Operator: Your next question comes from Kaan Peker with Royal Bank of Canada.
Kaan Peker: Hi. Ivan and Kath, thanks for the call. Yes, I'll just lead in with the question that sort of Levi hinted to. Just obviously, first half sequencing issues in lower grade at Nova. When does the plan have grades improving? And I'll circle back with a second.
Ivan Vella: Look, well, and this will be something maybe we can cover in more depth in the next quarter. I'm hoping we'll have that full plan through the end-of-mine life. What we're seeing is that it's quite variable even within a month. We've seen just a tick up in the last 1.5 weeks. And I think some of it is a bit about how we're actually understanding the edge of the ore body and areas that we have in mind for a very long time. There was one section that we're getting back to almost from the beginning of the mine. So rather dealing with the sort of week by week, month by month, what I'm hoping to be able to do is lay out what that guidance looks like through to the end of the life of the mine. And give you confidence even if we see part of the ore body or the timing slip or change due to the way we want to process the ore, that you all understand the total nickel metal contained and therefore, can anticipate that more accurately or more reliably. That's the work that's going on. I expect that we'll be – we'll complete that work this quarter and probably look at using next quarterly for an update on that.
Kaan Peker: Sure. Thank you. And the second one on Kwinana. With the buildup of hydroxide inventories, should we assume these are obsolete? And are they battery grade? And with the CapEx impact for seizing Train 2 work, is there any to FY2025 guidance? Thanks.
Ivan Vella: Okay. First of all, on the hydroxide. Look, once it's been stored for a while, you do get some agglomeration, which isn't preferred or looked on favorably by the refiners or by the battery makers, can makers and so on. So you tend to see some discounting to place that product. So naturally, why we want to turn it over more rapidly as we're producing, particularly with the increased production we've seen in the last eight weeks. It doesn't change the grade spec in terms of the actual chemistry, but that agglomeration certainly isn't well rewarded in the market. And that's reflected in our realized price. The CapEx, I guess, on Train 2, the work that was ongoing through first half of this financial year was around the FEED and study work. It was fairly minimal in CapEx terms. The bulk of the CapEx was Train 1 related and was tied in with the shutdown that we just completed. We expect that Train 2 CapEx or expenditure, obviously, which will be now OpEx only. It will all be expensed comes down, and that's what we're working through in the budget. And the plan is really about to what extent we want to preserve and sustain any of the assets that have been built. So it's fairly negligible costs. As I said, that will go to OpEx. And then CapEx, at the second half of this financial year, we expect will be trending down by comparison with the first half, given the scale of the shutdown that we saw in October, November last year.
Kaan Peker: Sure, thank you. I'll pass it on.
Operator: Your next question comes from Daniel Morgan with Barrenjoey. Please go ahead.
Daniel Morgan: Hi, Ivan and team. Firstly, just – you outlined earlier in the call that the Greenbushes business planning process was still not finalized. Can you just outline sort of how that works? So I imagine you'd be in the throes of it, and I guess you'll get that data soon. And just when will it be finalized?
Ivan Vella: Okay. Yes. Look, we're very close. We worked through that late last year. As you can imagine, any budget process is always a bit of to and fro, and the team is just finalizing that work, and we'll sign that off. That will give us something that we can look forward for this calendar year with and talk through with the joint venture partners to our expectations and then update any guidance as appropriate for the market. So in terms of – we're talking weeks, I guess, is probably the short answer.
Daniel Morgan: Right. So potentially something that might be updated in the financial results? Or is that too soon?
Ivan Vella: Possibly in the half year.
Daniel Morgan: And I guess just my follow-up question sort of relates to Levi's question a little bit. So it sounds like Greenbushes, I mean, operationally, it's doing very well. This calendar year, it beat its budget or plan. The sales volume was below production, which you're saying is not nomination based. It's just – that's how the shipments sort of happened through the port. So there's – so there's no reason to believe that there should be any change in how Greenbushes is running operationally or financially. Is that a fair thing to – for us to include?
Ivan Vella: Yes, that's exactly right. We expect it to continue running strongly and producing well and great margins.
Daniel Morgan: Okay. Thank you very much.
Ivan Vella: Thanks, Daniel.
Operator: Your next question comes from Jonathan Sharp with CLSA. Please go ahead.
Jonathan Sharp: Yes. Hi. Ivan, and team, thanks for taking my question. Just a question on the productivity focus you've mentioned there at the start, Ivan, that there's a focus on improving productivity at Greenbushes. Can you just break that down into more specific areas? Where are you seeing the biggest gains coming from? Is it process efficiency? Equipment optimization? Maybe change in feed, ore feed – and can you quantify the expected impact on throughput recovery rates or even unit costs over the next 12 months?
Ivan Vella: Yes. Look, great question. And you pointed to some of the obvious levers that are all being pulled. I'll give you an anecdote. Example is truck hours. Rob's been working with the team. And I mean, they've been at it now all through 2024 and just made really good steady improvements at getting more productivity from the truck fleet, moving more tons every day and so on, which is really pleasing to see. As some of you all know, McMahon is in there as our mining contractor. And as they got established and found their feet, they've just continued to improve productivity, which is fabulous to see. Recoveries through the plants, plant availability and reliability, all of those levers are quite material, not just because of the scale of the operation, but also because of the leverage and that the amazing grades of ore body that we're starting with. The broader – so that's just ongoing productivity work. Can I give you details at this point? No. I think we'll work that through. Once Rob's sort of got to a place where he's comfortable with his forward targets and plans, I think we'll look at how best to share that. And that, I think, I'd hold separate from the broader optimization, which then looks deeply at the ore body and how to get the very best from that, which is work that he's also doing and that will take some time. Anyone who's been through those kind of processes know that, that's quite a big exercise. Again, Rob's got a fantastic team around him, great technical input, some real fresh eyes and independent input as well to support him. And as you complete that work and we're able to share more, we'll certainly do that. But I think both are – they're kind of linked but independent in a way, and both will, in my view, deliver significant benefit for Greenbushes as a world-class ore body to become a world-class mining operation as well.
Jonathan Sharp: Okay. Thanks for that data. And then just a quick question on the TLEA dividend. Under what conditions can distributions resume in FY2026? Thanks.
Ivan Vella: Yes. So look, I mean, obviously, it's largely price – lithium price spodumene related. Greenbushes is extremely leveraged to that. It's already making great margins, but it has its own demands in terms of growth capital and otherwise. And then, of course, the Kwinana Train 1 has some requirements as well. And then the residual gets rolled out as dividends for Tianqi and IGO. I think the price forecasting in lithium is real crystal ball territory. We talk about it each quarter and who knows. People are kind of calling it, they call it every quarter. And for me, what we're focused on is just making sure we're allocating capital really well at Greenbushes and obviously focusing hard on Kwinana. And then as soon as those funds start to free up, we'll surface them and pass them on.
Jonathan Sharp: Okay, thanks. I'll pass it on.
Operator: Your next question comes from Matthew Frydman with MST Financial. Please go ahead.
Matthew Frydman: Sure. Thanks. Morning, Ivan and Kath. Can I maybe just follow up on some of those comments around the longer-dated optimization work at Greenbushes. You obviously didn't give any sort of particular timing, but in terms of the deliverable, do you – should we expect something like an updated life-of-mine plan or update the technical reports from the JV partners? Is that the kind of deliverable you'd expect from that longer-dated optimization work? And I guess, more generally, how do you see the sort of lead times in implementing anything that's identified in optimization studies or even day-to-day sort of productivity work? How much ability on the ground does Rob have to go and execute things autonomously versus going through a bigger JV oversight or – and your budgeting process, the limitations around dollars in terms of improvement projects or scale of mine plan changes. I guess just trying to understand how that works functionally in terms of the implementation? Thanks.
Ivan Vella: Okay. Look, maybe start with the last part of your question first. I mean Rob's got a lot of autonomy. He's a very capable mining operator and experienced leader. He's got a great team around him. First point I'd make is that they've already been making productivity improvements through 2024 even before he arrived, and he's obviously, giving that more momentum and priority and focus. I expect that he'll continue to do that through 2025. He's got a number of those things baked into his plans in 2025. And he's pushing on every day and spending a huge amount of time in the field, working with the teams, understanding the business with his leadership team, and that will deliver the gains that we're all hoping for. As I said in my last comment – last set of answers to the questions was, to some degree, that stands separate from that broader optimization work, which he's also doing. How he shapes and present, I will come back to you on. I mean I think that's a work that he's still stepping through. He's going back to basics to do that work. And there's an expectation that we'll update our long-run view and the sort of strategic outlook for Greenbushes. So how best we present that and share that's something that we'll discuss with the JV partners and with Rob and come back to you on. I will endeavor to get clarity on how that might look as soon as possible so that we can update you and you know what to expect. And I reflected probably the last really detailed set of numbers that you've got to work with from Greenbushes was actually from the prospectus or when IGO joined the JV with Tianqi. So it's somewhat outdated now. There's a lot that's changed in the world. And of course, Greenbushes has grown dramatically since that time as well. So it's important for us to give you that broader view. We just need to work through and just do that diligent work, give Robert a chance to sort of get his feet under the desk and really get hold of that optimization, and then we can present that fuller picture and update to the market.
Matthew Frydman: Yes, I understand. Thanks. Ivan I'm looking forward to that. Maybe secondly, just quickly on Nova, you talked through the work that you're doing in terms of recutting the remainder of the life-of-mine plan. I hate to use the I word for yet another asset. But is it possible that we see an impairment there depending on the outcome of that study? If costs are higher, for example, and the remaining reserves are lower, should we potentially expect a reassessment of the carrying value there?
Kathleen Bozanic: Yes. Obviously, we go through this sort of half year process, and we're still going through that process. But what I will say is Nova is still cash generating, and it benefits from byproduct credits, unlike many nickel mines. But it's obvious that as you get to the end of life, it gets harder and harder to justify the cash flows and everything. So we're watching it intent and working on it intensely. And we'll just call out the positives around the cash generation but also the challenges around the coming to the end of life and what items talks about the difficulties with grade and extremities.
Matthew Frydman: Yes. Got it. Thanks, Kath. If I can just sneak in one last one quickly while I've got you. Obviously, Tianqi already sort of put out their own view on the impairments that they're taking at Kwinana, both from an inventory perspective and also on the – on Train 2. Is there anything that you'd call out there that will be noticeably different in terms of how IGO treats those? Or is that a reasonable guide for the market in terms of what we should be expecting? Thanks.
Ivan Vella: Yes. Look, they have released commented, obviously and focused on Train 2 predominantly there. And Train 1 is still a area of discussion and review. The auditors still need to go through their process or finish their process on that. So yes, I guess from our point of view, there's still a bit of work to do before we're in a position to put a number out. That's why we haven't – I guess we sent a signal early that it will be substantial. It covers Kwinana. We see it as 1 CGU, and we'll then provide one update with the impairment outcome once that's finalized.
Matthew Frydman: Well, thanks for the answers.
Ivan Vella: Thanks, Matt.
Operator: Your next question comes from Jon Bishop with Jarden Group Australia. Please go ahead.
Jon Bishop: Good morning, Ivan and Kath. Thanks for your time. Just we've sort of danced around a little bit around the budget cycle and obviously setting be able for 2025 at Greenbushes. Obviously, the first half has been exceptional, running above your guidance. You would have some understanding of nominations for this calendar year. Is there anything that we should be concerned about that the second half of production should manifestly be below the first half?
Ivan Vella: No, Jon, as I sort of said in a couple of different ways. I appreciate you all hoping for us to just update guidance. We'll do that as we can work that through with the joint venture partners. But yes, there's nothing more to see here. No expectation that production will dial off or change in the second half.
Jon Bishop: Okay. I appreciate that. And the second one, probably a similar question that's been asked before. But just around dividend flow from TLEA, removing what could have been quite a sizable capital number for Train 2 out of the medium-term outlook. What's precluding sort of a more direct pass-through from dividend distribution out of Greenbushes through TLEA and upwards to IGO?
Kathleen Bozanic: Yes. So obviously, the money comes from Greenbushes through the normal process. And then it gets utilized at TLEA for the funding requirements at TLEA. Once that has been dealt with, then the money comes back through to the shareholders or the joint venture shareholders being Tianqi and IGO. So it's a fairly easy sort of like calculation, but there is some pull still on that cash from Greenbushes at the TLEA level and at the Kwinana level as it ramps up and expands improvement capital.
Jon Bishop: Yes. Okay. I guess where I'm getting to is in six months' time with the back broken on CGP3 and largely entering commissioning, barring an FID being taken midyear on CGP4, conceptually, your big capital lumps exposed to TLEA diminished significantly. So I'm just wondering if there are any other mechanisms that would see money banked up at TLEA not released to IGO?
Ivan Vella: No.
Kathleen Bozanic: No.
Ivan Vella: Good question, Jon, but no. It's a very clear set of priorities. One is funding growth and good investments at Greenbushes. Two is the residual requirements at TLEA, Kwinana and so on. And then everything else is then distributed as dividends to the two joint venture partners, TLC and IGO.
Jon Bishop: All right. Thanks for taking the questions.
Operator: Your next question comes from Rob Stein with Macquarie. Please go ahead.
Robert Stein: Hi, Ivan and team. Just a question a bit more operationally focused. So I noted that head grades dropped significantly in the quarter. And if you trend that over the last couple of years, there's been a gradual decline. I'm noting that production for mines significantly increased and got back to the levels that you were observing a few years ago. Is this something that we can expect going forward that we're sort of prioritizing to put through the mill and using lower grades to sort of feed that? That's part of the question. And the second part of the question is, well, what do we expect then from recovery given that you can't really triangulate that from the data flows, but looking for an indicative guide yourself around where recoveries are trending, whether they're impacted?
Ivan Vella: Okay, Rob. I mean I think we signposted that recoveries have been in focus. The team has done a great job through 2024. They've continued to improve, and they're running well. And that, of course, makes a difference. Naturally, head grade is still king and is a factor. As the team works through and optimize and characterize the ore and think about how best to run that mine and equally, the products that they're producing, that gives them degrees of flexibility to manage that and balance it with recoveries. I'll also note that our tailings are probably more lithium rich than most, and that's opportunity as well in terms of how we then balance our ore feed and manage the three plants as CGP3 comes online as well. So I guess that – probably the most helpful thing I think we're going to be able to do is, as Rob completes more of this broader study work or optimization work is when we can share a bigger picture, that will give you a better baseline to work with and know what numbers he's achieving and what his targets are. The ore body, it will decline over time. But equally, what we see from Greenbushes is pockets of grade through the mine that are – it's quite variable. So some very high-grade sections and then obviously getting back more to long-run grades. So I guess with the information we can give you, it's difficult for you to do that reconciliation. All I can probably point to is the work that Rob is doing. We'll share that in due course. And then the continued productivity and recoveries, improvements that the team are focused on, which obviously offsets any near-term grade decline.
Robert Stein: Maybe coming at it from another way. Is it safe to assume that improvements in recovery are helping you or enabling you to target wider sections of the ore body? So we'll see that in head grade drops, but that's not necessarily a bad thing because it means you're extracting more out of what's going into the front end of the plant. So therefore, production should improve.
Ivan Vella: Yes, of course. I mean – and that's the work that the optimization team will look at: How they get the best out of that ore body, how it's characterized, sequenced. There's an awful lot of work that Rob will step through there, and that will give us a very different picture. I expect and a lot of upside. I mean this is not a small piece of work, but equally, the leverage on it is huge. And the good news is that's being done at a time where the team is making good progress on improving productivities and recoveries because that gives you, obviously, more leverage to open up and optimize that ore body. So I think I'm not trying to be evasive. I'm going to – I'm sharing the information I can. We'll give you more when we're able to do that. But the kind of indications or the direction you're pointing is exactly the work that's ongoing.
Robert Stein: Thanks for the color. Appreciate it.
Ivan Vella: Thanks, Rob.
Operator: Your next question comes from Hugo Nicolaci with Goldman Sachs. Please go ahead.
Hugo Nicolaci: Hi. Thanks for the opportunity. I just wanted to dig into that Greenbushes performance piece a little bit more, just between the trains. Historically, Train 2 has had recovery issues, whereas Train 1 seems to have really been shooting the lights out on recovery. I would just confirm where those are out at the moment. Now is Train 1 still kind of in that high 70s, sort of pushing 80% recovery? And I guess what steps are you taking to improve Train 2 recoveries at the moment?
Ivan Vella: Hugo, the team here has been working on that, as I said, for some time, and they've obviously been working on closing that gap between Train 1 and 2, one of the factors that they're dealing with that impacting Train 2 is also just run time reliability. So Train 1 is older, more mature, more stable, more established, and it does take different feed to Train 2. And as they manage that consistency, they're getting better run times from Train 1. I know as they focus hard on Train 2, that's going to give them a natural lift. And that will keep that improvement coming. What I'd love to see and what I know the teams are working on is seeing much more consistent recoveries across Train 1, 2 and obviously, 3 when it comes online. And you remember that when Train 2 was built, it had a bumpy start, sort of on-off, on-off, and never really got the runway that you would have hoped for a new plant. Train 3, we see a very different start-up, and they're working hard on commissioning plans and ops readiness and that whole ramp-up plan to get the very best out of it. And we've got a clear benchmark from Train 1 as to what we can expect to achieve.
Hugo Nicolaci: That's helpful color. And then just more on the big Greenbushes piece. You mentioned the prudent capital spend as you go through the budgeting process, and you historically submitted environmental approvals to add ore sorting to the site. Fair to assume that, that's probably not a priority at the moment and just optimizing what you've got is probably in focus near term?
Ivan Vella: Absolutely. Yes. I mean, our bias will always be to optimize existing assets and capital deployed first before we chase new growth and enhancement opportunities.
Hugo Nicolaci: Excellent. And then just lastly, just on that timing of the Greenbushes optimization work. Just to clarify, is that something we can expect towards the back half of this year, do you think? Or is it kind of too early to tell?
Ivan Vella: Yes, I think it's a bit early. Let me get a bit more direction from Rob on how he sees that. We'll work it through the JV how we share that information as well and get that out to you. But it's ASAP. It's just – as you would know, it's a big piece of work.
Hugo Nicolaci: Excellent. Thanks for the follow-up opportunity.
Operator: Your next question is a webcast question from Matt Chalmers with Bank of America and reads: Would you mind giving us an update on your M&A strategy, especially with regard to copper? Are you seeing any attractive and actionable targets in the market? Acknowledging the preference remains for exploration and farm-ins, is reducing or close to production assets still off the table?
Ivan Vella: Thanks, Matt, for your question online. So look, we – the team are still doing their homework and have been and will continue that work. There's nothing I can report or be too specific on. I guess we talked about what is important in the guidance or direction for the team, and that is not diluting our business given the strength of Greenbushes and the contribution it makes. We've also said we believe strongly that having some copper cash flows in our business would partner very well with the lithium cash flows from Greenbushes. And we remain very flexible in terms of how we look at assets out there given our strengths in exploration and technical strengths in underground mining, how that could be seen favorably with – in a partnership. So we're working through the range of options, but I can't give you any more color than that other than that work is ongoing. And if we see the right opportunity, we'd certainly be looking to pursue it. It's a tough market, though, as I'm sure everyone knows, there's not a lot of easy options out there. And the second question?
Operator: Thank you. Your next question also from Matt Chalmers. This reads: Also, any color on cash balance within TLEA? In an instance where IGO is required to tip in cash into TLEA for funding of CGP3, will you look to draw down on your existing facilities? What minimum cash balance are you looking to maintain at the IGO level?
Ivan Vella: Okay. I'll maybe start here and then let Kath add a few comments. We can't – we don't share at this point our cash balance in our quarterly TLEA. Go back to Kath's earlier comments, the Greenbushes returns and cash generated is covering their CapEx requirements. As they meet their liquidity expectations, they pass money up to TLEA, which then supports our investment into Kwinana and so on. And then anything beyond that comes out as dividends. Given where the demands are at in the lithium price environment liquidity, we said we don't expect any of that money to flow out from TLEA in this financial year, and we'll see what FY2026 looks like. The coverage for CGP3 is there. So we're not expecting any call on us for funding that. The work that's remaining in the CapEx required is very well understood. It's been tightly managed. So we're not expecting any surprises there. And sorry, the last part of your question, I guess, I mean, on our facilities, it doesn't really need addressing. In terms of minimum cash balance and IGO, maybe I'll throw that one to Kath.
Kathleen Bozanic: Yes. So when we came out about two years ago now with our capital management framework, we gave you an idea of the liquidity that we were targeting at that point, which was around $1 billion, which indicated how much dividend we would consider. Obviously, with where we are right now and over coming to its end of life in the next 18 to 24 months and different business in a sense of reoptimizing exploration and the corporate spend, et cetera, we're going to do a refresh of that capital management in the next three to six months in order to right size it for our business. And therefore, we'll be looking at that more closely and be able to guide better on that in the future.
Operator: There are no further questions at this time. I'll now hand the conference back to Mr. Vella for closing remarks.
Ivan Vella: Okay. Great. Well, look, we're right on time, so I won't take anything any further. Thanks for joining. I said a challenging quarter, mixed results. The highlight, of course, is Greenbushes is continuing to perform and improve, and lots of upside we expect to be able to report on through 2025. And with Nova, look, strong focus on safety and production. That's still the core of our business. It's super important for us to get to a place where we're delivering reliably there, and that's a strong focus for me. All the best for the Chinese New Year celebrations to those who are doing, and we'll talk again soon. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.